Operator: Good day, and welcome to the SenesTech Inc Reports Fourth Quarter and Fiscal Year 2020 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask question [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Robert Blum with Lytham Partners. Please go ahead, sir.
Robert Blum: All right. Thank you very much, Matt, and thank you all for joining us today to discuss SenesTech’s fourth quarter and fiscal year 2020 financial results for the period ended December 31, 2020. With us on the call represent the Company today Mr. Ken Siegel, SenesTech’s Chief Executive Officer; and Mr. Tom Chesterman, the Company’s Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of SenesTech during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events or results to differ materially from those projected in the forward-looking statements, including the risks that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in our filings with the Securities and Exchange Commission. All forward-looking statements contained during this conference call speak only as of the date in which they were made and are based on management’s assumptions and estimates as of such date. The Company does not undertake any obligation to publicly update any forward-looking statements whether as a result of the receipt of new information, the occurrence of future events or otherwise. With that said, let me turn the call over to Ken Siegel. Ken, please proceed. Ken Siegel. Ken, please proceed.
Ken Siegel: Thanks, Robert. Good afternoon and thank you all for joining us today. As you saw in the press release we issued after the close, we made good progress in 2020, and building awareness and adoption of ContraPest as evidenced by 97% year-over-year increase in revenue. We’re obviously still operating from a relatively small revenue base, but we are making progress. While the pandemic has created hurdles for us in terms of visiting with potential customers face-to-face, we did manage to make progress on the six key areas of focus we discussed in recent calls. As a reminder, those include obtaining compelling real world data, focusing our sales and marketing efforts towards high value targets, launching an e-commerce platform, repositioning ContraPest as part of an overall integrated pest management strategy, focusing our R&D efforts on product improvement and enhancements and maintaining fiscal discipline. Although, we advanced in all six areas, the most significant progress was on point number one. As we recently concluded, key studies for ContraPest in both agricultural and urban settings, with overwhelmingly positive results in reducing rat infestations, and their enormous economic impact. So, let's discuss the agricultural data first. As many of you are aware, rats and poultry facilities caused significant damage, and can be hazardous to the health of flocks due to disease transmission, equipment impairments, pullet arctic predation, loss of grain and in severe cases, production interruptions. In the first appointment of west coast egg farm, ContraPest was added to the existing integrated pest management program. The rat populations were surveyed monthly for over a year, using cameras to measure the reduction in rat activity throughout the ContraPest treatment. The final results confirm the ContraPest cut the rat population in half within three months, and produced a sustained 90% decline in rat activity over the 12 months study. In the second deployment in the east coast pullet farm, again ContraPest was added to the existing integrated pest management program to stat, track, consumption rates and economic impact caused by the rats before and after the introduction of ContraPest. The staff reported an 88% improvement in pullet survival after reducing the rat population with ContraPest. The annual benefit projected by the customer of adding ContraPest to their pest management plan is over $600,000 in increase revenue and decrease costs. This is exactly the type of data we needed to show customers the unprecedented efficacy and cost effectiveness of ContraPest in real world settings. And while these results were from deployments of poultry facilities, the results are immediately applicable to many other situations. Anywhere there is grain or feed, there's the potential for rat infestation and ContraPest has now proven in the field to dramatically reduce those infestations, reduce their negative economic impact, and improve overall food security. Let's talk about urban deployment. We discussed this back in November after we had initial four month data. But with the results now finalized and having 12 full months of data, we're even more gratified by the success of ContraPest in reducing rat populations. As we described in our recent press release, this urban city takes a comprehensive integrated approach to rodent control and added ContaPest to their current program, about a year ago. They deployed 139 base stations at 13 different locations as an initial step. The goal was to determine the effectiveness of ContaPest at reducing the number of juvenile rats overtime by preventing reproduction, which simultaneously lowers the growth of the population. Two of abating locations were monitored by SenesTech using cameras to measure rat detection counts and age demographics during the 12 month period of the program. Data collected at month 12 from cameras showed that site A had a 94% reduction in rat activity and a 98% decline in juvenile rats been detected since the start of monitoring. Site B had a 99% reduction red activity at 100% decline in juvenile rights being detected during the same period. If you recall, after a four month study, these numbers were 51% to 88%. These results clearly show the ContaPest was effective at lowering the rat population and limiting the number of juveniles born thereby significantly enhancing the results of the city's Rogan control program. As a reminder, the reduction in juveniles that signifies the contraception is working. In effect, few if any rats are being born. As soon as the limitations from the pandemic ease, our field sales team will be able to share these results in more detail with governmental entities in-person, including those in California, who now face additional challenges with the implementation of legislation limiting or eliminating the use of common rodenticides. I'll talk about California more in a moment. And while we're laser-focused on ramping adoption of ContaPest in commercial settings, we also have an eye toward the future. As I stated in past calls, our R&D efforts have been largely focused towards making the product more user-friendly and available for use in increasing numbers of applications. In the past, I've talked about three current efforts in this area including the addition of mice to the label, new dispensers, and finally a non-liquid bait. On that final point, yesterday, we announced collaboration with Liphatech to develop a new non-liquid formulation of ContaPest. While our current liquid format is highly effective in a wide variety of applications, there are certain circumstances in which a non-liquid formulation might be preferable, such as locations that experienced excessive heat or cold. In addition, having a non-liquid formulation will give pest management professionals the option to use ContaPest in the familiar format, such as Liphatech's first strike product line. Liphatech is a natural partner for us with their history of innovation and pest control. They recognize that ContaPest is a game-changer for the industry. And we look forward to working with Liphatech to develop this additional formulation for ContaPest, as it opens up new addressable market opportunities for the Company. The transitioning back to our commercial efforts, clearly, products that have widespread market adoption for years have been able to continue selling throughout the pandemic while those are earlier stages of their product commercialization cycles, such as ContaPest have faced additional challenges. Mind you, we were able to grow revenue at 97% year-over-year, but we believe there was and is an opportunity for accelerated growth from this point. So, in addition to the trial data mentioned, which we believe is critical to our commercial efforts in 2021, we've also made progress on the following. First, we put in place key market awareness campaigns to increase sales qualified leads using both digital and traditional outreach methods. Frequent advertising on Google and social platforms is driving traffic to our site, targeted email and phone campaigns to highlight our outstanding field data results and the role of ContraPest in programs is creating word of mouth among customers and overall market awareness. Second, working with PMPs on product positioning especially in light of the new prohibitions on commonly used rodenticides in California, PNPs are licensed to apply rodenticides in all our market verticals. Our overall positioning is ContraPest will increase their customer satisfaction. And that's the PMPs business. As a contraceptive contract pest requires continual deployment albeit at reduced levels, increasing customer stickiness. Unlike traditional lethal products that have no long-term efficacy on rodent populations, PMPs are beginning to accept the value of our positioning that ContraPestcan reduce and maintain low rat populations and that our data shows this. ContraPest also benefits PMPs and their accounts that prefer a limited use of lethal control methods or with stubborn to control rat populations. Third, we've ramped up our e-commerce capabilities. We've streamlined the buyer's journey in the SenesTech online store by creating targeted product bundles for residential and professional customers, simplify the checkout process and develop an online chatbox to rapidly address customer needs. We have also established relationships with online distributors to promote and sell our products on their sites thus enhancing our reach. And finally, we've repositioned our field sales personnel. We’re deploying two field sales reps to California, where opportunities are highest in our targeted markets of agribusiness, municipalities and the PMPs that service those businesses. A third rep services, the center of the country and a fourth field sales rep manages key targets east of the Mississippi river. We also have a number of amendments to our label in progress that will improve reach into the important agricultural markets, and that will require additional sales support later this year. With the light at the end of the tunnel from the pandemic, we're optimistic about our prospects in 2021. Operationally, we've taken significant steps to better position SenesTech for the future. We've driven efficiencies in our operating structure, which significantly reduces our breakeven point. We're utilizing cash more efficiently at approximately $1.6 million for the just concluded quarter, and we completed a $10 million private placement in February and a $4 million financing in March. This capital provides us with as much visibility as we've ever had to successfully drive adoption of the business. That said, we will continue to spend money wisely as we drive to reach profitability. So in closing, we're laser focused on commercial execution. The moves by California to ban the SGARs should be a tailwind for us. The long-term study data where key events that we believe properly equip our sales personnel with the tools they need to confidently sell ContraPestin agricultural, commercial and urban settings. We've restructured key messaging around the product, we focused our salesforce, expanded our online direct-to-consumer channels and continue to efficiently manage the business with a significantly enhanced balance sheet. Obviously, we still have a lot of work to do, but progress is being made and our optimism for 2021 is high. So with that, let me turn it over to Tom to review the financials.
Tom Chesterman: Thank you, Ken. As a reminder to all, if you have not yet seen our earnings press release, you can get it on our website in the Investor Relations section. Also, we expect to be filing our annual report on Form 10-K in a day or two. So this is just the summary. Revenue for the year was approximately $282,000 compared to approximately $143,000 in 2019, an increase of 97%. This continues our trend of growth, fourth quarter 2021 over four quarters 2020 and year-over- year. The fourth quarter revenue was $97,000, which did include $24,000 of grant revenue received. However, this is not the $660,000 PPP loan. We are still carrying that as a loan until the forgiveness for which we apply is granted hopefully by the end of April. We do not as most of you may recall provide forward-looking guidance. I will say though, that so far, the first quarter looks pleasing from our perspective. Revenues continue to be a mix of distributor sales, PMP, direct and direct to consumer. I should note that we can't really always tell the difference between PMP direct and direct to consumer as PMPs order from both the website directly as well as from distributors. We believe that sales were much slower than might've been, due to the continuing effects of the pandemic, but we cannot confirm or calculate a precise effect. Cost of goods sold continues to improve on an operating basis. However, the reported $281,000 was negatively impacted by $119,000 inventory reserve for the plastics associated with an older bait station format, the JT Eaton that just doesn't seem to be selling much anymore. Our customers have moved almost completely over to the newer format based on the EVO, bait station design. Adjusting for that reserve, cost of goods sold would have been $162,000 for a 42% gross margin up from 29% last year. Our move at the manufacturing plant from Flagstaff to Phoenix is now complete and full commercial production has resumed. The move to Phoenix allows us to both save some money on rent and operating expenses, but also to access a broader manufacturing talent pool. Operating expenses also improved significantly in 2020. OpEx was $7.9 million in 2020 versus $10 million in 2019. As we mentioned previously, our goal was to remove $1 million from the expense structure and we have done that. The pandemic also reduced OpEx as there were COVID-19 impacts on head count and travel, but at least $1 million of the reduction was due to operational improvements that should be sustainable. We will release further detail in the 10-K. I am confident we'll be able to sustain much of the cost structure improvement in the coming quarters. On a GAAP basis, net loss for the year was $8.4 million compared with the loss of $10 million in 2019. We believe, however that adjusted EBITDA loss, which is detailed in the press release is a better measure of overall operating performance. For 2020 adjusted EBITDA loss was $6.9 million versus $8.2 million in 2019. Cash at the end of 2020 was 3.6 million, this was not, however, take into account financings that we closed after year end. In February 2021, the Company closed a private placement priced at the market, under Nasdaq rules, which resulted in net proceeds of approximately 9.2 million. And in March, the Company closed a shelf offering priced again after market under Nasdaq rules, which resulted in net proceeds of 3.5 million. As it will be disclosed further in the 10-K, we have also begun to see again warrant exercises. So far in the quarter, these are brought in an additional $1.2 million in additional cash. So taking this first quarter financing activity into account, our pro forma cash was approximately $17.5 million. Now arithmetically using last year's cash burn, this implies that we have enough cash through 2022 or further. I would also like to note that the shelf offering I mentioned now exhausts our shelf capacity under the shelf registration statement filed back in 2018. I do anticipate that we will eventually file another S-3 shelf as that is prudent and common practice, but we are not in a hurry. We can now focus on growing the business and not on the capital structure. With that, let me have the operator open the lines for questions please.
Operator: We will now begin the question-and-answer session. [Operator instructions] Our first question will come from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: With respect to the commercialization strategy going forward now, it looks like you have an opportunity on the agricultural side as well as in the urban front. Where the focus is going to be and what sort of strategies are implementing, if you could provide any color on that that would be helpful? Thank you.
Ken Siegel: Key focus geographically is going to be California, particularly with the adoption of the ecosystem Protection Act. That's one of the reasons why we've doubled up on the sales team there, and we're actually looking to recruit additional people. Similarly, California because the municipalities are one of the areas that are subject to the limitations of the statute will be a primary focus. So, we're currently reaching out to as many municipalities as we can, as you might imagine given the situation with COVID in California, we're still having difficulties scheduled and scheduling an in-person meetings. So as soon as that begins to crack open, we'll have our people out in the field meeting with the various municipalities. Agriculture is broader. Again, there's significant potential in California because of the law and because we had positive results in the industry. But we're also looking in the southeast and we're also moving up the food chain. As I mentioned before, essentially, the critical issue in the research we did wasn't necessarily that it involved poultry, wasn't necessarily that it involved grain necessarily that has involved grain, that has involved eggs, or chicks. It was the grain. It was the feed. And if you think about it, that grain makes its way through the entire food chain. So, we're looking not only at farm, we're actually looking at as the grain is aggregated in storage, in transport, working all the way into retail. So, right now, everything is critical area of our focus. The other way that we're approaching it though is, we've now begun to outreach to major regional distributors of the price of the product, and we're tending to stay away from the national distributors because we really can't get their attention. We can't get the shelf space. And so, we're partnering up with the regional distributors to get access to not only them, but to their PMPs for using the data that we've gotten, both from the urban markets and from the poultry studies to directly engage with the PMPs. We've created new handout collateral that they could use to market to their own customers. So, the idea here is that, we're going to attempt to leverage the existing system to get people out there and sell them. So, there are multiple different efforts, but really with a high level of focus on the areas where we think we're most likely to generate revenue in 2021.
Amit Dayal: Do you think you could be more aggressive as a sort of your progressive in terms of your marketing efforts now that you have a pretty strong balance sheet?
Ken Siegel: Absolutely, part of this is -- part of the aggression simply is now being able to get people out there and being able to physically meet. The other piece is we can ramp-up advertising and we can look into different channels, et cetera. But the key piece of this thing is, as COVID abates as now that we are well-armed with cash, we think that, we can be very, pretty strategic in how we deploy the money to best drive sales throughout the year.
Amit Dayal: All right, understood. And maybe this one for Tom. The other increase, I mean, it's still a small base, but its online contribution, online e-commerce contribution or was there something else that drove the top-line growth in 2020?
Ken Siegel: Well, no. It's not really just the online portal. And as I mentioned, the online portal is a bit of a mix between direct-to-consumer and pest management professionals who prefer to order direct instead of working through distributors. So, we can't really tell as precisely which segment of the buying population it is. But we've had a lot of direct sales where our sales force is beginning to see a lot of action in terms of direct orders. And now we are continuing to see normal orders growing from the various sundry distributors that we have, as Ken mentioned, a little bit more biased towards regional distributors lately, but that channel is certainly increasing.
Amit Dayal: Are there other -- is it just more orders and more distributors on order side?
Ken Siegel: We are significantly increasing the number of customers that are ordering. There are some specific PMPs that we can track anecdotally, that we know that they were increasing the deployment into other customers as they see the success of ContaPest. So it's a mix of that.
Amit Dayal: And Tom can you remind us what the share count is after the recent financings and the warrant exercise?
Tom Chesterman: On a pro forma basis using all of those different, all the financings that we had in the first quarter, I think the share count comes out at approximately 12.2 million.
Amit Dayal: Okay. Thank you. Just one last one from me, I guess, in terms of milestones for 2021 what should you be looking for? Is it just potential execution against the data that we have produced and now to draw in the capital? Are there any other milestones that we should keep in mind?
Ken Siegel: The key milestone really is execution. Maybe we should be looking about for revenue growth discussion of backlog, and then we'll update you as to the progress of the various initiatives that we have going on with EPA, which we'll start seeing in subsequent quarters. So, the product improvement and expansions is running through EPA, but the critical milestones is, how we do over the next couple of quarters in revenue.
Amit Dayal: Okay. That’s all I have, appreciate it.
Ken Siegel: Terrific.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Ken Siegel for any closing remarks.
Ken Siegel: Great. So again, thank all of you for joining us this afternoon. Frankly, I hope the sense that you got from the call is, is we're up, we're upbeat, we're optimistic about the year the various things that we've taken close to a year and a half to put in place are finally clicking. And you know, we've got an energized sales team, we've got an energized marketing function and we have cash in the bank, so that we're not constantly worrying about that thing. So again, hopefully you'll be hearing good things from us over the next several quarters. Look forward to talking to you again at the end of Q1. Thanks all.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.